Jakob Stausholm: Hello, and thank you to everyone tuning in. Before we begin, I acknowledge and pay my respect to all traditional owners and First Nations people that host our operations around the world. I am today in the United States, so we are doing results a little differently this year, but I hope the message comes through loud and clear. Our culture is changing and is improving our performance. We are again leader in project development and have excellent growth momentum. The diversification towards copper, aluminum and lithium is happening at pace, and we are delivering consistent shareholder value as we grow, build and diversify our portfolio. Now let's look at the evidence. Our production has grown for the third year in a row. Copper equivalent production increased 1% in 2024, and our mid-range guidance indicates another 4% growth this year, led by the ramp-up of Oyu Tolgoi. The 4% excludes Arcadium Lithium, so you can see we are already on our way organically. The acquisition only brightens the outlook. As we set out at our Investor Day in December, this puts us on course for a decade of 3% compound annual production growth. And this is not growth for the sake of growth. This is about investments that create more value from existing assets and diversifying our portfolio towards future areas of growth. We have really good momentum and the way we have built it is simple, a relentless focus on our four objectives. First, best operator. The safe production system is driving clear improvements that we will build on and accelerate. It was very encouraging for me to speak to our iron ore colleagues in the Pilbara a couple of weeks ago and understand how the evolving culture and systems are empowering them to make continuous improvement. We have more work to do on this objective to unlock value from all our assets this year, and that's a major opportunity. Becoming best operator also means creating a safe environment and safe culture for our people. We are determined to learn from the deeply tragic events we experienced in 2024 to improve upon our processes everywhere. Second, impeccable ESG. We have an action plan to decarbonize and it's value accretive. Good for the climate, good for business. I'll come back to that later. Next, excel in development. The tremendous progress at Simandou, Oyu Tolgoi and Rincon showcases our project building expertise. Peter will share the insights with you in a moment. And finally, social license, having spent time on country in Western Australia recently, I'm reminded of how fundamental this objective is to everything we do. We must constantly earn the right to operate and grow, and we cannot take our license for granted. Right now, I think we are in a good place. When I talk to our stakeholders, I sense we are building the trust and deeper partnerships needed to unlock sustainable business opportunities. Our four objectives are driving us forward in our ambition for a decade of growth and to deliver consistent returns to our shareholders. Our strong operational and financial performance support this conviction. We have increased production volumes and sales volumes, and we remain very profitable, even in a weaker iron ore price scenario. This resilience is underpinned by an increasingly diversified portfolio. Peter will go into more detail, but I want to bring to your attention that the net operating cash flow. This increased 3% last year, supported by a stronger performance from copper and aluminum. Looking at the second half of the year, you can see how much momentum we are gaining from these assets and that our distinct commodity mix is now paying off. Our strategic investments are adding value and our balance sheet is in good health, putting us ahead of the curve. This means no surprises. We are paying ordinary dividends at the top end of the range for the ninth year running. We have a resilient, highly valuable business today. We have built a solid base for future value. And once again, we are paying back to our shareholders. With that, I will hand over to Peter.
Peter Cunningham: Thanks, Jakob. I have a reasonably simple task today to summarize our strong financial performance for three reasons. Firstly, the majority of our assets are performing well, and we're starting to see productivity breakthroughs as SPS matures. As always, there are challenges, but the underlying trajectory is more operational consistency and continuous improvement. Secondly, we are seeing good discipline on costs, working capital and CapEx, resulting in strong cash flows. The improvement in our cost performance in 2024 was particularly good to see after several years of high inflation. Thirdly, our projects are on track, underwriting the next phase of the group's growth plans and incremental cash flows. So turning to the numbers. Underlying EBITDA was down just 2% to $23.3 billion despite an 11% lower iron ore price with a rising contribution from our aluminum and copper divisions. Operating cash flow was particularly resilient, rising 3% with a 67% EBITDA cash conversion rate, up from 63% in 2023. With our share of capital investment rising to $9.5 billion, we ended the year with net debt of $5.5 billion. And as Jakob said, we have maintained our track record of a 60% payout for the ordinary dividend, equating to $6.5 billion. These strong results have been achieved against a complex macroeconomic backdrop and a mixed demand picture for our products dependent on end use. Firstly, the property sector globally has been soft. In China, it has been weak for a number of years with steel demand down by as much as 30% from its peak in 2020. Elsewhere in the world, construction has been dampened by higher interest rates. Second, traditional consumer and industrial sectors have tended to be more stable and generally supportive for metals. And this picture is pretty consistent across major markets. And third, demand from the energy transition, which has not only buoyed growth for copper and aluminum, but also been a significant factor in holding up demand for finished steel due to investment in renewables and the grid. Energy transition sectors accounted for around 20% of Chinese GDP growth in 2024. The effects have been less pronounced elsewhere, but we expect it to remain the major driver of demand growth globally. And this is where we are spending most focused in terms of our growth program. The significant inflationary pressures over the last few years have changed the shape of industry cost curves, resulting in higher prices for many products given the correlation between prices and costs. But it's important to have a very balanced view of the demand picture. Our financial results are not the product of a global economy firing on all cylinders. Turning now to EBITDA. In 2024, we really started to see the benefits of our diversified portfolio and operational improvement. Higher prices for copper, bauxite and aluminum, together with rising copper and bauxite volumes helped to offset much of the impact of the iron ore price decline. As we set out at our Capital Markets Day, over the next few years, we expect to see our financial results increasingly driven by the whole portfolio of assets, not just the Pilbara. Our improving operational stability and intense focus on cost discipline is starting to bear fruit. Just to give you a few examples, we have already lowered headcount in iron ore as part of our recent streamlining program and have reduced group-wide functional costs by 3% year-on-year. This is all about rightsizing for the future. Meanwhile, copper unit costs on a gross basis, that is to say before byproduct credits were down 4% on 2023 as we achieved greater cost efficiencies. So overall, we really feel we have turned the corner. The post-COVID inflationary environment was challenging, but costs are now under control, and SPS is kicking in, which gives us good momentum going into 2025. The EBITDA waterfall underlines the stability. Commodity prices as ever were the biggest driver, netting out to $1.6 billion negative. The net effect of lower energy and market-based import costs more than offset the impact of general inflation of around 3%. In copper equivalent terms, our production was up just over 1%, mostly driven by our rising copper volumes in line with the ramp-up at OT, higher grades at Escondida and the restart of the Kennecott smelter. This compensated for a modest decline in iron ore sales. Exploration and evaluation was $300 million lower, mainly a function of Simandou costs being expensed for a good chunk of 2023 as we finalized agreements. Our underlying spend levels are stable at around $1 billion a year. Turning to cash unit costs. Our performance was more positive in the second half as expected and broadly flat for the year. We had lower unit costs in aluminum and copper, which were matched by adverse unit costs in our other businesses, mainly driven by lower volumes. So all in all, this brings us to strong underlying EBITDA of $23.3 billion. On to the product groups, where we enjoyed a rising contribution from aluminum and copper. Iron ore delivered more than $16 billion of EBITDA in 2024. Realized pricing was strong at 99% of the index, and we saw good levels of productivity improvement and met our shipment guidance. And this was all achieved despite the derailment earlier in the year and some adverse weather conditions in Q4 with unusually high rainfall. Unit costs came in at $23 a tonne, and we are guiding to around 3% higher this year at the midpoint. 2025 is going to be demanding, as Simon highlighted in December, with depletion peaking at 19 million tonnes. However, we are targeting another 5 million tonnes of productivity improvement from SPS and Western Range is on plan to commence production in the first half. We continue to advance our next four Pilbara mine replacement projects. These are progressing well, although time lines are, of course, subject to receiving environmental and heritage approvals. The product strategy work is ongoing. We are closely reviewing customer requirements and available ore grades. Unfortunately, this year has started with some very challenging weather conditions in the Pilbara. Tropical Cyclone Sean delivered more rain in 1 day than the wettest January on record and was followed by three more cyclones. First quarter production is impacted. But importantly, our full year shipments guidance is unchanged. Our aluminum performance was impressive, in particular, for smelting and bauxite. We were able to take full advantage of stronger markets, leading to a 61% increase in product group EBITDA. Copper was similarly strong, driven by higher prices and rising volumes across the three operations. And lastly, Minerals, where TiO2 volumes reflected weak Western market conditions for pigment, while IOC has still not achieved the operational stability we're striving for. On the plus side, we achieved Rincon first lithium and from the Salta plant an approval for full-scale operations. Moving to the safe production system. This is now being deployed at 31 or 80% of sites, and we're deepening maturity at the initial locations. Our Amrun mine in Queensland is a great example. In 2024, it achieved record bauxite output and is now running above nameplate capacity and was a key driver of our overall 7% production uplift. Let's now take a look at OT underground, best operator excellence in action. In 2024, we achieved all ramp-up milestones, including commissioning the convert to surface. As we steadily increase its capacity, output is set to rise by over 50% and the ramp-up will continue over the next 3 years to 500,000 tonnes per year on average over the period 2028 to 2036, making OT the world's fourth largest copper mine by the end of the decade. We believe that we can realize even more from our existing assets. We're therefore addressing our most complex challenges head on. Kennecott's ore body is significant. It remains a real opportunity to unlock value in an attractive jurisdiction. Our job is to work through the geotechnical risks and maximize value from all open pit and underground options. And it's vital we turn this asset around and set it up for the future. Over the last few years, we have learned a lot about the complexity of IOC. And as I mentioned in December, we are systematically working through the bottlenecks in order to achieve operational stability. Elsewhere, we are deepening partnerships, bringing Sumitomo into the Winu project and working closely alongside our Chinese partners at Simandou. I was in Guinea last month and was struck by the tremendous progress over the last year. We remain confident that we will achieve first production at SimFer Mine gate later this year and ramp up over 30 months to 60 million tonnes per year. Lastly, on decarbonization. We have signed renewable power contracts for around half of Boeing's needs and secured a more flexible energy supply for ANZS as well as increasing our stake to 100%. We continue to take a very disciplined approach to capital allocation. Our CapEx guidance is unchanged with growth of around $3 billion each year. The major commitments in 2025 are completion of OT underground, the ongoing delivery of Simandou and the start of construction at Rincon. Over the next few years, production from our projects will take off, particularly driven by OT and Simandou. Our balance sheet strength is the key enabler here. It allows us to run our business consistently and maintain investments through the cycle, offering resilience and creating optionality such as our acquisition of Arcadium. We remain committed to maintaining a strong balance sheet. And finally, the dividend. In line with our usual practice, we have declared a 60% payout for the full year ordinary. Our commitment to consistent shareholder returns is unwavering, and we now have a 9-year track record of paying at the top of the range. With that, let me pass back to Jakob.
Jakob Stausholm: Thank you, Peter. We have made great progress executing our strategy and objectives in 2024. As Peter showed, our momentum towards best operator is helping us get more from our existing assets. The underlying driver is our evolving more psychological safe work culture, creating a less hierarchical and more humane organization. We are also capturing operational learnings as we develop major projects. For example, Simandou is progressing at a breathtaking speed on schedule and on budget. Of course, 2024 was the year of lithium as we sought to diversify our portfolio further and our deepening project expertise is giving us the tools we need to also build a world-class lithium business. Rincon went from greenfield to first lithium in only 32 months, and we are now scaling up the site with confidence. Meanwhile, combining our Rincon learnings, technology and balance sheet with Arcadium's expertise will allow us to realize the full potential of Arcadium's assets. The acquisition is advancing at pace and set to close within the first quarter. Enhancing our existing operations and evolving our portfolio in line with demand provides a strong base for us to succeed in the short, medium and long term. Yes, we can expect more global volatility in the year ahead, but our strategy enables us to be resilient in an uncertain world and capture new opportunities as they arise. So let's look at the year ahead. There are important milestones to come, including Oyu Tolgoi's ramp-up, first production at the mine gate from Simandou and the rollout of technologies, including AP60. And throughout our year, our priority is to intensify our focus on best operator to drive improvements everywhere. The outlook gets even more exciting further down the line, 1 million tonnes of copper a year this decade, growing our leading aluminum business, expansion in high-grade iron ore and a leading lithium business. That's not all. We have a rich pipeline of projects, exploration and technologies in development that will support our growth and provide materials needed for the energy transition. That brings me on to decarbonization. It is worth highlighting that we made significant progress in 2024. This was a record year for our emission reduction. We have moved from strategy to action, cutting emissions by 14% between 2018 and 2024, bucking the trend at a time when they are on the rise globally, and we have done it without compromising our shareholder returns. 2024 was also a record year of project approvals to meet our future targets. These recent commitments have significantly advanced our progress towards our 2030 target to cut emissions by 50%, which we are pursuing with a relentless focus on value. In summary, our strong operational and financial results tells us Rio Tinto has momentum on its trajectory for a decade of growth. We have also shown leadership in project development, and we are embedding those learnings throughout the organization. Crucially, we are delivering consistent shareholder value as we diversify and decarbonize our portfolio and strengthen our business further. No matter what comes our way, cyclones and all, I have confidence that it will be a very decent year ahead because I have an excellent team, and we have an excellent resource base. Thank you.
Rachel Arellano: Good morning, afternoon, and good evening, everyone. Thank you for joining the call today. My name is Rachel Arellano. For those who have not yet met me, I'm really excited to be here, my first full year results as Head of Investor Relations at Rio Tinto. Jakob and Peter have taken you through their introductory remarks on our strong operational and financial results for the year 2024. We will now follow with a question-and-answer session for 45 minutes. Please limit yourself to one question and one follow-up so that we can cover as many people as possible. With that, I will now hand over to the operator. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Rahul Anand from Morgan Stanley.
Rahul Anand: Peter, Jakob, and team, thanks for the call. First question is for Peter, perhaps. Peter, the dividend policy and the dividend today, obviously, great consistency and predictability, having paid 60% of EPS over the past 9 years. If I look through the detail, however, obviously, the dividend represents a payout greater than 100% of the free cash generation or my number is about 120%. And if you look into the future, you've obviously got higher CapEx which implies your dividend at the 60% level is probably going to exceed the free cash flow in future periods as well. So I guess my question is, are you comfortable adding debt to maintain that EPS payout level in future periods? That's the first one.
Peter Cunningham: Rahul, I think the key point is that we are investing in some pretty attractive growth through the OT underground and through Simandou, which is going to add incremental cash flows into the system. So the answer is yes. I mean, right now, we had a small deficit of free cash flow to investment. But those incremental cash flows really give us the confidence going forward to keep -- to pay the dividend at the level it is.
Rahul Anand: Got it. That's very clear. And look, a quick second one for Jakob, perhaps. Congratulations, obviously, on the strong performance from the aluminum business for the period. Just under a scenario, Jakob, where you do have tariffs on Canadian goods come in, I mean, how would the aluminum business be able to cope with that? Just wanted to understand under a scenario where you're perhaps shipping your product to Europe, I mean, is there capacity in the trade routes available? What incremental cost should we think about? Obviously, there's a lot of volatility, but it would help us sort of square the circle on that.
Jakob Stausholm: Yes. Thank you, Rahul. I am in Washington, D.C., and I'm trying to understand what the U.S. wants to achieve. Bear in mind that we produce a lot in the U.S. different products and then a number of products are being imported for us into the U.S. So first of all, the economic impact on tariffs to Rio Tinto might be both pluses and minuses, and we don't know whether the net will be positive or negative. But it really depends on how the tariff hit. If all countries are getting a tariff, the impact for us is zero. The problem is if it's only one country in the country we are selling into. But then, of course, we could redirect our aluminum to other markets and other producers will supply the U.S. market. So new balances will arise. It's far too early to conclude anything on where tariffs will end. And that's why my focus is to try to understand what is it the U.S. want to achieve. At the end of the day, tariffs is only an instrument. And allow me just to follow up on what Peter said. I think it's so fundamental to your first dividend question. I actually did the math here because you have seen that we 9 years in a row have paid 60% of dividend, the maximum of our policy. We have actually paid $72 billion of ordinary dividend over the last 9 years. In that period, we have reduced the debt to half the size, and we have stepped up CapEx, and we have gone from contracting our production volume to growing it. And now we have a clear decade of 3% production growth ahead of us. And therefore, if you just look at that statistics, you feel really comfortable about meeting your dividend requirements for the future.
Rahul Anand: Absolutely. No, that is definitely commendable, Jakob.
Operator: Your next question comes from the line of Jason Fairclough from Bank of America.
Jason Fairclough: A couple for me, Jakob. First one, I guess, again, on tariffs. As an executive, given the volatility on the news flow around tariffs, are you more or less minded to make more investments in the U.S. and Canada at the moment?
Jakob Stausholm: Right now, as I say, I'm sitting in the U.S. We are very keen to invest in the U.S. As you know, we have a potential copper mine resolution that could produce 25% of the copper needs for the U.S. We also are one of only two who has a copper smelter -- and it's been difficult to make money on copper smelting in the U.S. and maybe there will be better conditions for that in the future. So I wouldn't mind seeing further investment into the U.S., but I'm also very keen on investing in Canada, and we are investing a lot in Canada right now, as you know, and I'm very pleased to inform you that the project is on schedule and on the AP60, the first new smelter in the Western world for 16 years. And I'm very comfortable about that one. But of course, there's a little bit of uncertainty right now. But I think the way to look at it right now is instead of just looking at the downside, when you have fairly seismic chains, opportunities arise, and it's really the opportunities I'm looking for right now. So there's nothing about cutting down on investments in Canada right now. Thank you.
Jason Fairclough: Just as a follow-up, if I could. And this may be for Peter. And Peter, you're kind of alluding to the fact, I think that you're partway through a lot of these growth projects. And I was just looking at your balance sheet. I think it's $100 billion of assets. It's just under $70 billion of property, plant and equipment. Off the top of your head, have you got a feel for how much of that PP&E is actually unproductive today that it would become productive in the next few years?
Peter Cunningham: Jason, not off the top of my head, but fundamentally, on Simandou, we spent $2.4 billion of our share of the CapEx, so about 40% of the way through by the end of last year. Clearly, that's not producing anything at this moment in time. And on OT, we've spent -- I think we're 95% there of the CapEx, but we're only just starting to go through the ramp-up process. I mean we talked in the presentation that we expect more than 50% uplift in copper output this year, '25 versus '24. So they are the two big components, if you like, but certainly on the balance sheet and not yet translating into anything like the full cash flows.
Operator: The question comes from the line of Paul Young from Goldman Sachs.
Paul Young: Jakob, a few questions on the Pilbara, please. The first one is on just guidance and the fact that you have lost 13 million tonnes of production from the wet weather, which is effectively your guidance range or the spread. You said you can make up around half of that. And I think you generally budget for 7 to 10 lost days from weather next year anyway, but you're holding your guidance. So I would have thought though that commentary would have been you're guiding to the lower to the midrange. So just curious about are you really just waiting for the complete review of the infrastructure impact?
Jakob Stausholm: Yes. Thank you, Paul. I do think we know quite well where we are. But what we, of course, don't know is whether we get more cyclones in the months ahead. And what I would say to you, we're only in February. And I just spent 3 weeks in Australia, and I spent time up in the mine. Fortunately, there was no cyclones when I was there. They are doing an amazing job at the moment. The SPS is really working. The culture is changing. The maintenance is in a much better shape. Our rail lines are working very well. So I actually feel very comfortable. And of course, we have talked to Simon Trott and his team, and they feel comfortable with the guidance as it is right now. It's clear that it will have an impact on first quarter production and sales volume. And it's a bit unlucky circumstances. You know the whole story from a lot of water in December into the three or four events we have just recently had. But I -- if we felt we should change the guidance, we would have changed the guidance. But given where we are today, the guidance is the guidance. And that is, of course, a vote of confidence in what they're doing. But I really feel it's the best guidance we can give to the market. Thank you.
Paul Young: Okay. And then maybe just on the long run and actually Rhodes Ridge and great to see Mitsui come in as a JV partner seeing you have a long-standing relationship through Robe River and also more importantly, Cape Lambert port. So I'm just curious on your views. It seems like a pretty big number they paid, but -- so I'm just curious about your views on that and do you think they're assuming a larger operation? And then secondly, the fact that they own a stake in Cape Lambert just with the infrastructure charges, does this change any way potentially the effective equity tones or free cash flow that you might get out of Rhodes Ridge?
Jakob Stausholm: Yes. No, thank you. No, absolutely no changes to that. We have a very good relationship with the two families, but particularly the one family for strategic reasons, did not want to be participating. So it's super good news that we are getting towards the end ownership of the joint venture so that we can really progress and get that. And then you asked me about the valuation. And unfortunately, Paul, I cannot do your job, but I think it's very, very transparent that we are dealing with an asset that is worth an enormous lot of money. And don't forget, we are very happy with our 50% ownership because our economics is considerable more than the 50% because we will get the full synergies from using the rail and the port. So I think you actually have got -- all of you analysts have got some really important points to help you valuing our iron ore business. Over to you, Paul. Thank you.
Operator: Your next question comes from the line of Lyndon Fagan from JPMorgan. Lyndon, are you on mute?
Lyndon Fagan: Yes, I was. Sorry about that. Jakob, just wanted to touch on the Pilbara replacement mines. Again, it feels like results keep rolling by, and we're no closer to getting approvals, obviously, depletion really kicking in. Can you comment maybe about the 345 to 360 shipment range and when you expect to achieve that now? It really does feel like we're creeping up to some of that time line slipping? And then I've got a follow-up as well.
Jakob Stausholm: Yes. Let me start and hand over to Peter. But just a couple of things. I mean, first of all, you have good news today about Rhodes Ridge. We have just talked about that. I know what you're saying, you're talking about the interim between that and now. I will say to you as well, which is also good news, is that Western Range is on schedule, on budget. So that will be ramping up shortly. And we are making progress on those things. But you are right. The beauty about the iron ore system is that we don't have constraints in the port and the rail and we are becoming more and more productive in the mine. So the constraining factor is really about getting access to land. We are making progress at the moment, but that's the critical part. There's absolutely no change to what Simon Trott told you at the Capital Markets Day. But Peter, why don't you just elaborate on that?
Peter Cunningham: Jakob, that was going to be my punch line exactly, exactly that. But we are pretty much progressing as we thought. So there's no change to the time lines we've talked for the four big replacement mines that are going to come through. They're certainly moving to the system. We can't be sure on time lines around approvals. But at the moment, we feel that they're moving along the time lines that we expected.
Lyndon Fagan: Okay. Well, I guess, yes, the pressure is on for 2028, I guess. But look, the next question I had was a market question. I mean, we've observed Chinese iron ore imports ramping up over the last few years, just as steel production has been falling. And I guess through the Simandou project alone, most of the market is bearish on iron ore. And here, we are seeing Chinese imports grow in a falling steel environment. I'm wondering what your observations are around why Chinese iron ore imports continue to rise. I mean are we seeing domestic depletion, et cetera? Any commentary there? And I guess, as a related topic, your market impact assessment on bringing Simandou on and how disruptive that might be?
Peter Cunningham: Lyndon, we effectively are still seeing Chinese production of steel around 1 billion tonnes, and that's clearly driving the iron ore demand. We did see sort of some increase in port stocks in 2024, about 30 million tonnes. But fundamentally, it was that steel production rate that drove the demand for iron ore. Now we would sort of say that the prognosis we gave to the market over the last sort of 2 years is keeping going. I mean there is a chunk of supply of iron ore coming in from the majors. But there's still 600 million to 700 million tonnes there that is coming into the market from Chinese domestic from a whole variety of landborne and seaborne suppliers around the world. And you've seen a lot of inflation in the cost curve. over the last few years, giving more support into the iron ore market. And we've just seen that. Every time there's been sort of the prices come down, it's bounced back up because of that cost support in the -- around the supply curve. So I think we just sort of have no change to our view on that. It's just, I think, remains a very robust market. And the fact that you have that sort of big, big wave of sort of supply there, which is clearly striving to meet Chinese demand is where Simandou fits in. I mean this is high-grade, low-cost iron ore, which we think there's an absolute place in the market balance because of that overall supply curve. So no change really, Lyndon, to our view on what's happening there.
Jakob Stausholm: And I think I should probably add a little bit because sometimes you read things in the newspapers from various sources. Yes, Simandou is going amazingly well. It's really progressing at, I call it, breathtaking speed because it does. But it's only first ore at the end of this year, and it's going to take 30 months to ramp up. And it's only 6% of the world's seaborne iron ore that will come out in aggregate from Simandou, and we think there's space in the market for that.
Operator: Your next question comes from the line of Ephrem Ravi from Citigroup.
Ephrem Ravi: The first question, of the $2.5 billion for Rincon that you plan to spend over the next 4 years, how much would you expect to spend this year? Or is the acceleration of the project also subject to formation of those super sites for lithium in Argentina as part of your plan after closing the Arcadium transaction?
Jakob Stausholm: Yes. I'll ask Peter to answer the exact number this year of Rincon. It's a fairly smaller part of it. But we -- let's just start with the good news. Arcadium, that transaction has gone extremely smoothly, and we were not -- we thought it might take up to a year to close the deal, but we announced it in October, and now we might actually be able to close it here if not by 1st of March, then in the course of March. And I'm planning to go to Argentina myself here in March and go and see the sites. It goes without saying there are certain things you can't do before you have closed the deal. And from there on, we will very quickly develop a plan for exactly where investments will happen and how fast we can ramp them up. So given the fact that we haven't closed the deal, it will be not very smart of us to share a plan. We have a plan, but we're going to learn much more. So far, everything looks very good. And integration, I'm very comfortable on that as well. I think there's a good match of cultures between the two companies. And we have -- I have hired Paul Graves to lead our lithium business. And I think in general, we are on a path to retaining people. and from there, learn from each other and get more technical excellence and really drive the growth forward. But Peter, how much are we going to spend on Rincon?
Peter Cunningham: So I mean, this year clearly is the first year of construction. And so you always have a slower buildup on that profile. So we would expect it to be in around $0.5 million of spend this year.
Ephrem Ravi: And a follow-up on the iron ore business. So if I assume that 13 million tonnes was lost for the year, would it be also fair to assume that there would be a lower proportion of SP10 in '25 compared to '24. The SP10 volumes last year was about 60 million tonnes. So is there enough flex in the system to reduce proportionately the amount of SP10 and do more Pilbara blend?
Peter Cunningham: So I think the key point there is that the reason why losing the ports is important because we usually have excess capacity in the ports and we can make it up during the year from the mines when we lose port capacity. But we can't this year because effectively, the whole system is sort of stocked out in part. So that's what's meaning that we can't move the tonnes. So it really doesn't change our view that we will continue to have elevated SP10 this year.
Operator: Your next question comes from the line of Rob Stein from Macquarie.
Robert Stein: A couple of -- well, two questions, just on your CapEx guidance. So the $11 billion this year, excluding the one on closure and the one on exploration and development. Just looking forward when Arcadium does come in and you resequence the portfolio, are we expecting upside risk to that sort of 11 number? Or is that 11 number being provided knowing that there are capital requirements with Arcadium? I've got a follow-up.
Peter Cunningham: So, Robert, when you look at our capital guidance, we said $11 billion for 2025. And some of that was because we actually spent a bit less in '24. We were at $9.5 billion. So we had a bit of flow over into 2025. But post that, we've -- our guidance is $10 billion to $11 billion, and we're hoping to maintain it more towards the $10 billion level. And when you look at our sort of the overall growth aspect, which any Arcadium projects would fit into, we've got OT coming out of the system by the end of this year, the underground spend, big year for Simandou next year, but the really big year is this year for spend. By the end of this year, we'll spend something like 2/3 of the capital. So space really opens up in '26 and into '27 for project funding. And that's why we're pretty comfortable that what we'll need to spend on growing and building out the projects within the Arcadian portfolio can be accommodated within our current guidance.
Robert Stein: And then I guess the linked question around  full CapEx kind of getting to Lyndon's point earlier. When you think about the heritage profile, the risks to approvals and the CapEx burden of trying to sustain that business and then you're reviewing the Pilbara Blend strategy, are we to think that there will be optimization with the Pilbara Blend strategy that will derisk that production profile, i.e., we're taking sustaining mines off the critical path.
Peter Cunningham: So, Rob, I mean, I think the key point is those projects that we talked to, those four projects, it's not as though kind of things are standing still and we've not got any sense of them moving forward. We absolutely have. And so they are moving forward, as we said, as we expect. And those four projects are sort of absolutely foundational to the whole system going forward. So we are seeing them move as we would expect to see them move towards their final approvals and with the necessary heritage clearances in place as well. I think that's the key point. So we are absolutely reviewing the Pilbara product strategy as well. That's work in progress, and we'll see where that takes us. But fundamentally see the four projects as sort of foundational under any way forward.
Operator: Your next question comes from the line of Richard Hatch from Berenberg.
Richard Hatch: First question is just on iron ore costs. So $23 to $24.5 a tonne seems a little bit above where the Street was looking for. Can you just talk about whether '25 is perhaps the peak year for cost grinding higher in the Pilbara? And how do we think about that $20 a tonne medium-term target with that in mind? That's the first one.
Peter Cunningham: So Richard, I think the outcome, $23 is pretty good at the half year, we were at $23.2. So the second half was coming in lower. I mean the key point as well is that we had lower tonnes. through the system, 1% lower sort of 4 million tonnes of production that clearly has an effect on your unit cost. It was about half of the delta on year-on-year. I think we are -- what we're seeing is a lot of productivity starts to be driven through the Pilbara system. And I think it's really -- it's pretty impressive what they're doing, and I've sort of referred just to the changes being in employee productivity rates being experienced there. I think the team is doing a great job. But there remains a lot of inflation in the Western Australian market that we have to offset as we move forward. So that's where the guidance is up 3% year-on-year at the midpoint. I think when it comes to $20 a tonne, remember, that is was set in '23 in real terms. But as those projects come in, those 4 replacement lines and the system has additional flex to it, we will see that productivity really start to come through. And that's why we remain very comfortable with that as a midterm target.
Richard Hatch: Okay. And the second one is just on this impairment on the double digestion on the increased capital costs. I'm just wondering how that impacts your decarbonization targets progress and such like. Can you just -- or if not -- or if it doesn't at all, can you just explain a little bit about what's going on there?
Peter Cunningham: Obviously, write the back page report so well done. But no, absolutely. I mean we take an impairment on QAL because what we found is we've done more work around that double digestion project that the scope of it has increased and the CapEx is higher. And so we've taken down the value of those assets by about $0.5 billion as a result. I mean we remain sort of very much committed to the program. I mean you've got to think of our business as an integrated business there of the bauxite mines in Weipa, the alumina refineries supplying the rest of the smelting system. And that's -- the system value is there, and we've got to decarbonize that system. So the double digestion remains a sort of positive project even if the capital we are now estimating is higher, it remains a positive sort of value project. And so we're continuing studies to try and make it happen.
Operator: Your next question comes from the line of Chris LaFemina from Jefferies.
Christopher LaFemina: So Jakob, being that you're in the United States right now, I wanted to ask about the 45x critical mineral tax credit that you could get at the very least at Kennecott and maybe even as a benefit at Resolution. I'm wondering, a, what you're hearing about that? And then b, if that does indeed become a reality, do you get the credit on only the operating costs for existing mines? Or would it also help you on the CapEx resolution, assuming that gets green rated at some point?
Jakob Stausholm: Well, just help me here. The credit you're talking about is related to critical minerals, but that's related for comments from the previous government, isn't it?
Christopher LaFemina: No. So the Trump administration and Congress are considering declaring copper critical mineral. And if it becomes a critical mineral as per Congress, copper producers in the U.S. will get a 10% direct credit from the U.S. government. So Freeport said will be $500 million a year for Freeport from its U.S. operations, and that's just 10% of their operating costs, which they effectively get reimbursed for. So I'd assume at Kennecott, you'd be eligible for that in that resolution as well.
Jakob Stausholm: I know for sure. No. But you're right. I just don't think we know all the equations yet because it is one comment from the new government, but it's based upon a system from the previous government. But what I was trying to say earlier in the call is that there will be pluses and minuses and all the production we have in the U.S. is unlikely to be worse off and likely to be better off. But I really think it's too early to conclude anything. But I would say today, I'm quite happy of having a smelter -- copper smelter in the U.S., even though it hasn't been very profitable for quite a long time.
Christopher LaFemina: And secondly, just on the comment you made earlier about how tariffs on aluminum are kind of raised across the board globally, it would be a net neutral for you. But isn't it the case that the aluminum production in Canada that you're exporting to the U.S. now is excluded from prior tariffs, whereas in this case, you might be on a 25% tariff just like everybody else. So some of the advantage that you have in Canada will go away and your margins might be compressed a little bit? Or am I thinking about that wrong?
Jakob Stausholm: No, no. That's a very fair point now. It's only 10%, but we have the Section 232 exemption that was negotiated under the first Trump government. So -- but everything is up in the air. We don't know where it will land. But you're right, at that stage that gave a favorable position to our Canadian smelters.
Operator: Your next question comes from the line of Liam Fitzpatrick from Deutsche Bank.
Liam Fitzpatrick: I've got one question and then one follow-up. So firstly, just on the Chinalco stake, Jakob, you said in December at the CMD that resolving this constraint on potential plc buyback is a priority of yours. Are you hopeful of making any progress this year?
Jakob Stausholm: Yes. But I don't have any progress to tell you about today. It's not a lot of time since December. So please be a bit patient, but I'm completely committed to what I said. I cannot promise it, but I'll do my best.
Liam Fitzpatrick: Okay. And then the follow-up is on question on strategy and portfolio. As you've outlined, a big part of the strategy is to rebalance the portfolio as the Mitsui transaction has shown us there are some companies out there that are going to put a much higher value on your Pilbara business than the market will. So have you and the management team ever considered monetizing part of the Pilbara through minority stake sell-downs or something similar as a way of accelerating the shift in the portfolio?
Jakob Stausholm: Yes, that's something I would find very, very difficult to do. We are the world's largest producer of iron ore. We have optionality second to none with IOC, Simandou kicking in and a system that actually can make choices in the Pilbara on its product strategy that other producers might find difficult. So selling down would be a really bad strategy. Then otherwise, you should just sell the whole stuff in my view. But I was sending your comment because Paul Young made the same comment back to you guys. I think it's you guys who has to look at what is the real value of our iron ore business. You've got a very clear signal today from Mitsui.
Operator: Your next question comes from the line of Lachlan Shaw from UBS.
Lachlan Shaw: Two questions from me. Maybe to start off and just to sort of circle back on the iron ore cost curve and costs in general. Maybe stepping back a little bit, what's the view at the moment in terms of how the cost curve more generally for the industry might be expected to trend in the next sort of 1, 2, 3 years? And I'll come back with my second question in a second.
Peter Cunningham: Lachlan, I think we saw a major period of inflation come through the system. I think that is clearly coming off. I think some are dealing with that better than others. And I think we talked to, I think, what we're doing in our system. But I wouldn't expect the same sort of change to the overall cost structure of the industry over the next few years. I mean, clearly, that's dependent on exactly how demand evolves. But as we looked at the last many years, you can see China being very stable and incremental growth elsewhere for steel and thus iron ore. So we're not posting any major change to the structure for the next few years.
Lachlan Shaw: Understood. That's helpful. And then my second question is just on, I guess, organic versus inorganic growth. And I'd observe that you've got a fairly full program of organic growth underway over coming years. You're soon to complete on Arcadium and what will come there. How do you think about the capacity in the business for further potential inorganic growth?
Jakob Stausholm: Yes. Thank you. That always -- the answer is always what it depends and deals -- some deals make sense and some deals makes no sense. What I feel passionate about, and this is why I'm so pleased that we have been able over the last few years to go from having a Rio Tinto that had a declining production towards growth is that we got so many great technical people. And I think it's my job for the benefit of the shareholders to make sure they are being kept as busy as possible. But not to break over. You guys talk a lot about CapEx and -- sorry, capital and capital allocation. And as you know, I have been a CFO for many years. That's very important. But actually, the most important constraining factors is what are your technical competencies. And I think we have now shown that we are able to deliver projects on time, on budget. We have improved significantly after we created our global project organization. And when you have those capabilities, you want to use them at max. And I think that's what we are doing right now. That's why I'm so happy about our growth journey. And we will -- we are capable to take over Arcadium and help them execute projects as well. But we are running, I wouldn't say full capacity, but close to. And that means that I don't have much desire to add more things into it. But I mean, at the end of the day, you can never say never because it's not that taking over Arcadium is just us who has to deliver. We're actually getting a lot of capabilities in Arcadium. So you could say the combined entity of Rio Tinto and Arcadium will be having more execution capability than before. So that's the kind of constraining factor. But the most important point I want to make between organic and inorganic is that we are just really lucky as a management team here in Rio Tinto. We have received from our predecessors many, many years back, a covered full of opportunities. And we've just talked about maybe we could, at some stage, progress something like resolution. And it goes without saying it's our responsibility to first look at the options that we have for free before we go out and spend an awful lot of money to get something else. Thank you.
Operator: Your next question comes from the line of Alain Gabriel from Morgan Stanley.
Alain Gabriel: I have one question and a follow-up. The first question since we were talking about resolution, how do you see the road map for the project from here under the new U.S. administration? That's my first question.
Jakob Stausholm: Yes. Look, right now, we are waiting on the Supreme Court that hopefully will not take the case. We have won the case in four courtrooms now. All the -- every time it has been in the courtroom, we won the case. And if they're not -- if they're deciding not to take the case, then it's back to the administration. And now there's a new administration. And that has been the previous Trump administration did approve the land swap. The next step is to get the land swap to happen because then we can do the final drilling, we can learn the full size of the ore body and from there, design the best possible project while we in parallel are making consultations with all the swipes that has connections to the land. And I would say that area is actually progressing very well. So I'm optimistic, but it's still a long journey. And first copper is not the next couple of years. It's somewhat further out. But don't forget, it's a copper mine that can produce 500,000 tonnes for a long period of time.
Alain Gabriel: And the follow-up is on -- can you give us an update on your discussions with EntrÃ©e Resources with respect to the JV with OT? What are the next milestones from here and your discussions with them? And what are the implications or are there any implications or any delays in reaching an agreement? What are the implications for the mine plan?
Jakob Stausholm: Yes. So far, there is not, but it would be nice to get that part solved in the not-too-distant future. My focus is, and we are working closely with the Mongolian government to solve the tax dispute we have there. I mean that would be my first priority. If you solve that, it's much easier to solve the entry as well. But we have really good progress. And I feel that we're working in good lockstep with the government on a project that now is progressing so successfully. When things are going well, it's always easier to solve issues. So that's my philosophy. I would, of course, rather like to share today than tomorrow, but I think we're getting closer to solve those two issues.
Operator: Your next question comes from the line of Dominic O'Kane from JPMorgan.
Dominic O'Kane: Actually, my questions have all been asked.
Jakob Stausholm: Excellent. An analyst who runs out of questions, that's fantastic, Dominic.
Operator: I will now go to the next question. And your next question comes from the line of Kaan Peker from RBC.
Kaan Peker: Two questions from me. Firstly, can I ask about the future of TiO2 in Canada? I appreciate that you mentioned tariffs will impact the economics of the Canadian assets, and there are a number of furnaces at RTIT that are on care and maintenance, and I'll circle back in a second.
Jakob Stausholm: Yes, it's an excellent question. What I see that the team is doing is great progress on improving its cost position. It's probably the place in Rio Tinto where we have most focus on the cost efficiency, but there has been a lot of shifts in the market, and we need to adjust towards where the customers are and to the market. And right now, there is some uncertainty with regards to tariffs. But don't forget, Sorel is not only producing titanium slag, it's producing scandium. We are trying to start producing titanium metals as well, all very, very critical minerals that has great interest by the U.S. So I think these things need to be seen in totality. But it's clear that the tariffs brings more uncertainty to our titanium business than our aluminum business in relatively speaking terms. So let the dust settle a little bit on the tariff side. And then I can give you a better answer on the utilization of the Sorel plant, which I guess is the core of your question, but it does depend on where we land on tariffs.
Kaan Peker: And on iron ore, I understand guidance was maintained. But do you have an update on East Intercourse Island remediation work and the time for the port to get back to nameplate. I think the initial assessment was 3 to 4 weeks. Has there been any changes to that?
Jakob Stausholm: No. It's still the same. It's actually heroic work just so we are clear we understand the things with the dumper. It's not a problem that a dumber is getting flooded. But this dumper was put in place around 1970, and we have never had so much rainfall in 1 hour. And the sad thing in this case was that the flooding was so high up that it took the whole electrical installation and that actually have kept our suppliers on working overtime to give us new electrification kits in place. And so it's all about getting that stuff to the Pilbara and quickly installing it. It's actually quite impressive that it was possible to do within that time frame. But obviously, it's disappointing that we have down for such a long time. It is the impact of climate change, I'm afraid to say. It's a good learning for us and it's a good test for us to go around and look at things. flooding is one thing, but destroying your electrical installation is something else.
Operator: Your next question comes from the line of Amos Fletcher from Barclays.
Amos Fletcher: Just a couple of questions. I wanted to ask in light of the story about the approach from Glencore, which appeared to have been taken quite seriously by the Rio Board. What should we read into that in terms of strategy and whether you're prepared to go back into coal, for example?
Jakob Stausholm: Well, I don't know where you have this thing about the Board. I cannot comment on rumors. It's entirely a rumor. So I'm afraid I can't comment on that. But you're right, we left coal in -- just before I joined the company in '18, and we have had no plans for going into coal again.
Amos Fletcher: Okay. And then just, I guess, a follow-up on that is, I don't know -- just to ask a question on the DLC structure. But as you look at large-scale consolidation options in the industry, does it make you think more positively about the merits of dissolving or unifying the DLC?
Jakob Stausholm: Not really. We can certainly use scrip with the DLC. And funny enough, Peter reminded me, we actually have done that, but I think it's back to year 2000, where we have used scrip when we took Comalco private. So that's really not an argument. We will, in a couple of hours, announce our invitation to the AGM, and there will be a resolution there that is requested by Palliser, and there will be the Board's response to their resolution. So if you don't mind, I'd like to refer to that. You will have it in, I think, 1 or 2 hours.
Operator: We will now take our final question for today. And the final question comes from the line of Myles Allsop from UBS.
Myles Allsop: Great. Maybe quickly on Simandou. You talked about this 30-month ramp-up. Could you give us a bit more clarity on the shape of that? So if we're thinking about both Blocks 1, 2 and 3, 4, the system as a whole, should we take a straight line and assume 40, 80, 120 broadly over this 3-year period? Or will it be more clunky?
Jakob Stausholm: Time will tell, but it goes without saying that the two consortia shares the infrastructure. So for example, I -- we Rio Tinto in Block 3, 4, and we wouldn't mind -- we wouldn't like to see the Block 1 and 2 takes the capacity in front of us. So I think we will all try to load from that side. But we do need to get a reliable system, and that takes time to load up. I'm not able to offer you anything better than a straight line at this point in time without promising you that it is a straight line.
Myles Allsop: Okay. And maybe just a very last question back on the DLC, and maybe this is in the Board's response. But -- it seems like the big difference is in the cost, and you've been quite clear that you see a mid 10 -- about $5 billion sort of cost and obviously, Palliser has a very different view. Could you just give us a sense of how you build up to that $5 billion or probably the audit that was done quite recently, I think.
Jakob Stausholm: Yes. No, I don't think it's in the interest of the shareholders that we go into, into what kind of tax exposure there could be from that. That is crystal clear, not in the interest of the shareholders. But that's only one side of the equation. You have to sit yourself and think how on Earth can you do this and never get your Australian shareholders to pay a premium for taking out the plc shareholders. So it's quite an undoable transaction.
Operator: I will now hand the call back to Rachel for closing remarks.
Rachel Arellano: Thank you so much for joining us today. If you do have further questions, please don't hesitate to reach out to the IR team. So we wish you a good rest of the day, wherever you are dialing in from today. Thank you very much, and goodbye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.